Operator: Good day and welcome to the Nabors First Quarter 2019 Earnings Release Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Denny Smith, Vice President of Investor Relations. Please go ahead.
Denny Smith: Good morning, everyone. Thank you for joining Nabors First Quarter 2019 Earnings Conference Call. Today, we will follow our customary format with Tony Petrello, our Chairman, President and Chief Executive Officer; and William Restrepo, our Chief Financial Officer, providing their perspectives on the quarter's results along with insights into our markets and how we expect Nabors to perform in these markets. In support of these remarks, a slide deck is available both as a download within the webcast and in the Investor Relations section of nabors.com. Instructions for the replay of this call are posted on the website as well. With us today, in addition to Tony, William and myself are various other members of the senior management team. Since much of our commentary today will include our forward expectations, they may constitute forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Such forward-looking statements are subject to certain risks and uncertainties as disclosed by Nabors from time-to-time in our filings with the Securities and Exchange Commission. As a result of these factors, our actual results may differ materially from those indicated or implied by such forward-looking statements. Also, during the call, we may discuss certain non-GAAP financial measures such as adjusted operating income, EBITDA and adjusted EBITDA. All references to EBITDA made by either Tony or William during their presentations whether qualified by the word adjusted or otherwise mean adjusted EBITDA as that term is defined in our website and in our earnings release. We have posted to the Investor Relations section of our website a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measures. Now I will turn the call over to Tony to begin.
Tony Petrello: Good morning, thank you for joining us as we review our results for the first quarter of 2019. Before discussing those results, I will offer some comments on the macro factors that worked during the quarter. These factors understandably had a stronger influence on our customer's activity and forward planning. The first quarter began with two notable events. WTI was trading below $46 that was down more than 33% just during the fourth quarter. Second, capital markets were severely limited for energy issuers at the end of the year. This backdrop weighed heavily on our customers as they completed their budgeting and planning cycles during the first quarter. The result was a mixed bag of outcomes. In some cases their processes were delayed. Others reduced their planned activity, some maintained their prior intention to increase drilling and we saw all that play out during the first quarter. The net impact to the industry during the quarter was a decline of 74 rigs. In the phase of an uncertain though improving environment, our operations performed well during the first quarter. Adjusted EBITDA totaled $197 million, down modestly from the fourth quarter. Once again, our U.S. Drilling segment and the Lower 48 in particular performed admirably. Average daily margins in our Lower 48 business exceeded $10,000 for the first time since late 2015. Our quarterly rig count in the quarter was up slightly, outperforming the broader market. Beyond the Lower 48, in the first quarter, we had more rigs working in Alaska and the Gulf of Mexico combined than in any quarter over the past three years. Now let me discuss our view of the market. The Lower 48 average rig count during the first quarter was 1,011 rigs. More recently, last week, the rig counts stood at 960 that was down by 15 rigs from the end of the first quarter which stood at 975. Since the beginning of the year, the rig count has declined by 89 rigs or about 8%. A number of customers in the Lower 48 have followed through on plans to reduce their spending and activity in 2019, on balance, these reductions have resulted in decreased industry utilization till the end of last year. Our customer base at Lower 48 tilts heavily to IOCs major independent. These operators have been among the more resilient, increasing or maintaining their previous drilling activity. Once again in this quarter, we see this in our Lower 48 Top 20 customer survey. The clients survey, that account for approximately 39% of the Lower 48 industry rig count. The results of this edition of the survey are mixed. The survey indicates about a 20 rig or about 5% decline in planned activity during the remainder of 2019. The largest planned declines are in four respondents, well though a large portion of respondents indicated planned declines, several larger companies anticipated increasing their activity, when we lastly shared the survey in February it indicated a mid-single digit rig decline with activity reductions concentrated in two operators. The additional declines are combination of deeper cuts than previously indicated at some operators and the finalization of reduced drilling plans at others. The previous survey was completed before our customers had finalized their budget plan. The survey group accounts for 63% of Nabors working Lower 48 rig fleet. Our exposure to the poor operators, which are most significantly dropping rigs is limited, it amounts to four rigs. We have demonstrated that we can place any [indiscernible] superspec rigs quickly even in this market. On the plus side, as of today we also signed full year contracts for three additional deployment with one of our customers. Those deployments are expected to occur during the second quarter. The strength in our rig count is indicative of our performance in this market. We outperformed the industry during the first quarter as our rig count increased slightly. We are already on target to increase rig count during this quarter. We currently have 115 rigs working in the Lower 48 that's up by four since the end of the first quarter. Within the industry, the upper movement and leading-edge pricing has paused for now. At the same time, demand for the most capable rigs remains strong and pricing for our rigs remains intact. We continue to successfully reset closer to current rates, rigs which have been working on contract with below leading-edge pricing. Bottom line, our utilization of superspec rigs remains essentially 100%. In our international markets, industry activity has continued to gradually improve though with uncertainty in two of our most important Latin American market. As it is typical in our customer base in these markets, there is less sensitivity to commodity price volatility. Pricing in these markets has also stabilized, although at a lower level than prior peak. We have finished the process of rolling higher margin legacy contracts to the current pricing environment. We absorbed the last significant pricing concession during the first quarter. We expect gradual tightening in rig supply as excess capacity is absorbed by activity increases and we expect to deploy additional impact for rigs over the next year in select markets. Now let me comment on our results on segment highlights. For the first quarter, consolidated EBITDA totaled $197 million compared to $202 million in the fourth quarter 2018. Revenue increased sequentially by approximately 2% to $800 million. Several factors drove our results for the first quarter. The U.S. segment continued its strong growth trajectory. The performance was driven by pricing and margin improvement in the Lower 48 and increased activity in U.S. offshore and Alaska. International results declined principally due to two factors, several rigs in the eastern hemisphere were also at new contracts at lower current day rate. We also incurred market related and operational challenges in Latin America, which have been addressed. In Canada, we had expected a seasonal increase of rig count, which did not materialize. The market there has become even more challenging as the peak drilling seasons disappointed. We achieved several notable highlights during the quarter. First, our Lower 48 operation deployed four upgraded rigs in the first quarter. These deployments include the final two PACE-F rigs for customer in West Texas and the initial two PACE-M750 rigs. One of the M750s went to work in West Texas and the other is South Texas. These deployments are excellent examples of our ability to cost effectively upgrade existing assets to premium superspec rig. These first M750s have performed quite well in the field demonstrating the value we envisioned for our customers. During the first quarter, we also installed the industry's first drill floor robot on our semi-submersible rig working in the North Sea. This deployment is an important milestone for Canrig Robotic Technologies and for the drilling industry. We also signed the contract for the first fully automated drill floor for a platform rig in the North Sea, delivery of this comprehensive drill floor package to begin later this year. During the first quarter, we added several installations of ROCKit Pilot, our automated directional drilling system. We were also awarded multiple installations for our navigator software, navigator automates directional drilling workflow. While navigator determines optimal instructions for directional drilling, Pilot automatically executes those instructions. Fully automated directional drilling, which optimizes wellbore placement is in emerging market and we are at the forefront. Finally, we completed additional successful commercial runs of the rotary steerable tool. With our successes down hole, we are now adding resources to achieve wider commercial acceptance. Now let me discuss our segments in more detail. First, the U.S., we currently have 115 rigs working in the Lower 48, this compares to an average of 1,011 [ph] for the first quarter and 1,011[ph] at the end of the first quarter. During the first quarter, average rig count increased slightly versus the fourth quarter. Our first quarter Lower 48 margin of 10,170 increased more than $700 sequentially. This increase reflected superb operational performance as well as the favorable pricing environment of high-specification rigs. Next International, our international rig count for the first quarter averaged 90 rigs, up two versus the fourth quarter. That increase reflects rigs deployed during the fourth quarter in Colombia and Saudi Arabia. Those increases were partially offset by declines in Argentina and in Venezuela. EBITDA for the quarter was impacted by market related and operational challenges in Latin America and the Middle East. Revenue declines in the eastern hemisphere due mainly to rigs lower day rates and partially offset by higher revenue in Mexico. In Canada, despite the weak market environment, our operation there generated healthy EBITDA. The Canadian drilling market has been severely impacted by a number of factors. These include wide basin differentials in government mandated production curtailment. In the first quarter, the industry rig count declined year-over-year by approximately one-third, Nabors outperformed, our rig count declined by approximately 23%. In drilling solutions, we continue to make progress in several product areas, most notably in performance software. During the quarter, performance software continued to increase penetration within Nabors and third-party rigs. The fourth quarter benefited from high year-end sales from the newly acquired PetroMar business. In our rig technology segment, results in the Canrig equipment operation improved sequentially. This improvement occurred despite the ongoing challenges to new equipment sales given the industry's rig count progression. This segment also includes two of our technology development initiatives, namely our robotics operation and the rotary steerable tool. Our engineering expenses supporting these efforts increased somewhat. The robotics operation took two significant steps forward during the quarter. The installation of the first drill floor robot was completed. And the first contract for a complete automated drill floor was signed. Now let me discuss our outlook by segment. In U.S. Drilling for the second quarter, we expect our Lower 48 rig count will increase by three to four rigs with the first quarter level. This forecast is supported by our pending contracted deployment. Given our March exit rates and our most recent contracting results, we will check the modest increase in the Lower 48 average day rate and a corresponding uptick in daily margin. Our rig count in Alaska is likely to decline modestly due to the seasonal wind down in that market. For the full year, we expect the whole Lower 48 daily gross margin above the $10,000 mark and to exit the year at about 120 rigs. In the International segment, we are expecting improvement in EBITDA in the second quarter. Our rig count in the segment should be essentially flat. However, we anticipate improved operational performance as well as some cost reduction in Latin America. For Venezuela specifically, we do not anticipate any change in activity levels during the second quarter. However, the situation in the country remains uncertain, injecting an element of risk into this outlook. All in, we expect International EBITDA to exceed $90 million in the second quarter. In Drilling Solutions, we expect second quarter EBITDA to exceed the first quarter. This improvement is forecast across most of the major service line. We also expect this segment result to increase throughout 2019 and to finish the year with an annualized run rate of $125 million in the fourth quarter. Looking forward, we expect second quarter EBITDA for Rig Technologies to improve slightly versus the first quarter. While there are several moving parts in the forecast the end impact is expected to be minimal. Later this year, we expect to begin recognizing revenue related to the rig floor automation project in the segments robotics operation. That concludes my remarks on the first quarter results and our outlook. Now, I will turn the call over to William for discussion of financial results. After his comments, I will follow with some closing remarks.
William Restrepo: Good morning. The net loss from continuing operations attributable to Nabors of $172 million represented a loss of $0.36 per share. The first quarter results compared to a loss of $188 million or $0.55 per share in the fourth quarter of 2018. Results in the fourth quarter included $52 million or $0.15 per share after tax in net impairments and other charges, primarily related to our legacy rig fleet and other obsolete assets. Results also included a $52 million or $0.15 per share tax charge related to the establishment of a noncash deferred income tax valuation allowance in Canada. Revenue from operations for the first quarter was $800 million, up $18 million from the fourth quarter. U.S. Drilling and Rig Technologies drove the sequential increase in total revenue while Canada and International decreased sequentially. U.S. Drilling revenue of $320 million grew by $16 million, a 5% increase driven by higher average pricing in the Lower 48 and strong seasonal expansion in Alaska. International drilling declined by $8 million or 2% reflecting market related and operational issues in Argentina and Venezuela. In addition, we have served the last of our negotiated pricing concessions on contract rollovers in the Eastern Hemisphere. Canada Drilling revenue fell by $4 million or 13% while the highly seasonal Canada market typically increases in the first quarter, our rig count declined due to weak market conditions. Drilling Solutions revenue of $65.4 million declined by $1.4 million versus the previous quarter reflecting high fourth quarter revenue for newly acquired PetroMar business. Offsetting this sequential reduction was a $1 million revenue increase in drilling performance software. Revenue in our Rig Technologies segment increased by $10 million or 17% to $71.7 million. This increase was driven by improved sales of capital equipment and replacement part as well as higher volumes of repairs and certification. Capital equipment sales remains sluggish reflecting the volatility in commodity prices and its ultimate impact on drilling rig capital expenditures. Adjusted EBITDA declined to $197 million compared to $202 million in the fourth quarter and $11 million improvement in the U.S. market was offset by an $8 million reduction in International. Results in Latin America were affected by the U.S. sanctions and turmoil in Venezuela, as well as an activity drop in Argentina driven by the recent reduction in regulated natural gas prices. Operational issues resulted in down time in both countries. Pricing concessions in the Eastern Hemisphere also had a negative impact. Canada down to $1 million was affected by falling rig counts and margins as the normal seasonal trend was overwhelmed by the currently weak market. Finally, given the nature of our business, our drilling rig and performance software margins are highly correlated with the drilling days in each quarter. A 2% fewer days in the first quarter translated into an unfavorable sequential impact of approximately $6 million for the global drilling and drilling solutions business lines. U.S. Drilling EBITDA increased by $11 million sequentially driven by the significant improvement in Lower 48 margins and increased rig activity in Alaska. Lower 48 adjusted EBITDA rose by $6 million as daily margins increased by $742 to $10,170. The improvement was attributable solely to improve pricing, as average leading edge day rigs for our super spec rig remained above the mid $20,000 range. Rig count improved fractionally as our deployments of upgraded rigs offset the increased utilization penalty between the releases of rigs by customers and their subsequent rig contracting with other customers. We expect daily rig margin to progress higher in the coming quarters, though not at the same sequential rate which were reported for the first quarter. Since we still have the opportunity to reprice multiple rigs to current leading edge day rig levels, we would expect margins for the second quarter to exceed the first quarter level. Our rig count for the Lower 48 with average 114 rigs to 115 rigs in the second quarter. The Alaska market is expected to share an incremental rigorous self at the seasonal decline impacts operations there. International adjusted EBITDA declined by $8 million to $86 million in the first quarter. This decline primarily reflect the last of the pricing concessions granted on the rollover of a number of contracts in the Eastern Hemisphere, which have been renewed with pricing more reflective of current market pricing. We also experienced activity decreases and interruption including operational issues in Venezuela and Argentina. Following these issues, we have adjusted our cost structure, pending the return to normal conditions. We also expect our Argentina rigs to return to operations shortly as the market reabsorbs the rate released due to the reduced natural gas subsidized pricing. We currently expect our International key to EBITDA to improve some $4 million to $5 million as compared to the first quarter results. Canada adjusted EBITDA decreased to $7 million from $9 million in the fourth quarter. Rig count at 16 rigs was two rigs lower and daily margin decreased about as expected to $6,055 per day. After the atypical declining activity in the first quarter, we expect a further reduction in the second quarter as the spring breakup impacts rig count. Average total rig count should decrease between six and seven rigs sequentially. Margin should hold up as our rig mix during breakup tends to be favorable. Drilling solution posted adjusted EBITDA of $21 million down from $23 million in the fourth quarter. Most of our product lines were stable with the exception of our performance software which grew by $1 million compared to the prior quarter. In our recently acquired PetroMar business, project related revenue in the fourth quarter did not repeat in the first. For the second quarter, we are targeting an increase for NDS adjusted EBITDA of $2 million. Rig Technologies reported an adjusted EBITDA loss of $2 million in the first quarter, likely below the fourth quarter loss of $1 million. We incurred higher expenses in [indiscernible] region technology development initiative as we ramp up towards commercialization. EBITDA in the core Canrig business was again positive and increased from the fourth quarter. For Nabors as a whole, we would expect EBITDA to be on the range of $200 million to $205 million in the second quarter with improvement in most of our businesses, partially offset by seasonal declines in Canada and Alaska. Now, let me review our liquidity and cash generation. In the first quarter, net debt increased by $104 million towards the upper end of our expectation range. Several items normally impact cash flow in the first quarter. The net debt increase in Q1 includes $81 million in interest payment which are concentrated in the first and third quarters. In addition, we incur several annual payments at the beginning of the year that includes property and other taxes as well as employee incentive bonuses. These payments which will not recur during the remainder of the year amounted to approximately $50 million. Finally, our dividend payments will fall by $18 million in the second quarter. We also funded capital expenses of $140 million in the quarter. That’s a deployment schedule for upgraded rigs are weighted towards the first half of the year. We expect CapEx to decline sequentially each quarter this year and to total approximately $400 million. During the second quarter, we expect our cash consumption from interest and dividends to fall by about a $100 million and CapEx to decrease by approximately $40 million. EBITDA improvement, the absence of beginning of the year payment and working capital reduction should also help us to arrive at the midyear point with net debt below our year end 2018 level. We remain focused on addressing our liquidity and leverage. We maintain our commitment to reduce net debt by $200 million to $250 million this year and to a reduction of $600 million to $700 million through 2020. With that, I will turn the call back to Tony for his concluding remarks.
Tony Petrello: Thank you, William. I will conclude my remarks this morning with the following: During the first quarter, volatility in the energy markets declined and commodity prices increased significantly. Through this period, our drilling business in the U.S. performed exceedingly well. Our financial performance in the first quarter exceeded our internal expectation. Our focused on expense control is unwavering. We remain committed to maximizing the value in our existing asset base. In the Lower 48 market, this recent volatility has tested our strategy. Our financial performance during this period demonstrate that we are bringing the best rig to the industry's most demanding customers. Our working percentage of super spec rigs is among the highest in the industry. Our field performance measured across KPIs is top notch and the customer base is taking notice. With recent attractive upgrade deployments pending this quarter, we have visibility to further growth. U.S. offshore business accounts for more than 10% of total EBITDA. Our platform rig designs are best in class. We are well positioned for any upturn here. Internationally, our land rig franchise is unmatched in the industry. We hold significant share in major markets across the globe. We have more deployment scheduled as we moved through 2019 through our discussions for even more rigs under way. We believe the first quarter marks the bottom in financial performance and we expect to show improvement as we move through 2019. In our technology businesses, we believe that we are entering the commercial stage. Our recent market success and robotics is encouraging. Meanwhile, our entire portfolio performance software, tubular running services, downhole tools as well as drilling in rig automation is unique, and customers' adoption is growing. At our analyst meeting in 2016, we unveiled our vision to change the way wells are drilled. At that time, we suggested that existing AC rigs can soon become legacy rigs. We defined thepad-optimal super spec rig, which has now become the generally accepted standard. We also outlined our belief in the industries need to embrace process automation and robotics and to use the rig as a platform to deliver services around the well while generating superior return. We have been hard at work since then executing on our vision. The merits of that vision have largely been validated by events since that time, including by the number of service providers now trying to replicate similar objectives. We believe our current rig designs are second to none, and we have the sectors most robust portfolio performance software and tools which utilize the rig as the delivery platform. We are focused on exploring this portfolio to drive superior performance for our customers and enhance returns for shareholders. I fully expect to report improvement on both fronts as we move through the year. That concludes my remarks this morning. Thank you for your time and attention. With that, we will take your questions.
Operator: [Operator Instructions] The first question comes from Kurt Hallead of RBC. Please go ahead.
Kurt Hallead: Hi, good morning.
Tony Petrello: Good Morning.
Kurt Hallead: Hey, thanks for all that insight and detail and maybe Tony want to start off a question for you, you mentioned in the 2016 analysts day at that point in time you kind of a part of your vision you outlined on drilling solutions, you had a target of getting to about $250 million at blink of annualized EBITDA by the end of 2020, it looks like your commentary regarding the exit rate for 2019 will get you halfway there and just give us some insights on some of the uptake and the drive to commercialization and kind of where you think Nabors fit in getting the industry to adopt these processes?
Tony Petrello: Sure. As I said in my opening remarks, I think that the – the move that we've had has been embraced by many of our customers. Everyone realizes that to get to a new level of efficiency, we have to change the way we did things in the past, which means changing workflows at the rig site. Typically the way the operators lowered their cost historically has been basically counting on each individual, vendor and getting cost reductions, but that has the law of diminishing returns. So if operators are truly interested in getting to a better level of BOE costs more efficient, I think you have to put on the table by doing all of the change of workflows and that was the strategy we outlined in 2016 with NDS. Today I think quarter-on-quarter, I think – basically we have about 46% of the rigs in the Lower 48 now running about five NDS services which is up a 2% from last quarter. The reason why NDS services in this quarter was down a little bit was because of churn, as you know in this market there is a lot of the churn that was going on and you've got to realize NDS service about – almost 30% of it actually performance on third-party rig. So that's another point that affects our churn, where the churn is probably a little greater on third-party rigs than it’s for Nabors rig for the other reasons we outlined. In terms of our plan, I think as I said the portfolio we feel very good about the performance tools, I think our ROCKit product has been known in the industry, industry leader for oscillation and we're building on that with wellbore placement products. We think that's a real growth market today more than half our installs of ROCKit Pilot are using no directional driller at the rig site, which is a big change and I think that, as customers get more and more comfortable with that, that will accelerate. I think the tubular running services business, part of the market where we've introduced the way to run casing on a more integrated fashion that's getting traction as well. And wellbore placement, we've actually improved, we've worked on our cost structure, which was – as I said in prior quarters was a bit of a problem, we're starting to improve our gross margins and wellbore placement as well. We've actually tested our rotary steerable tool this past quarter. We’ve got a good trial run. We'll do a bunch more trials throughout this year to get geared up for full commercialization beginning in next year and that of course has a big upside. And then finally we introduced a technological PetroMar, which is PetroMar technology, which is actually a new tool that's designed to help operators understand their wellbore and it's interesting that, today when you think of – when people talk about completions which count for more than 50% of well cost, there is most completions today are done kind of brute force. You put a bunch of stages, X feet apart and you just hope and you frac them and that's basically the way it's done, there is no real intelligence about how to locate the stages, what our new tool does is, it actually can take a sonic log during the drilling process. So when we complete our drilling, we can hand over an image of the log to the operator, which then allows him to understand where his fractures are so he can better place the stages of the fracture. This is a new technology we rolled out. We made – your season’s spotty sales until we get some acceptance there, but we're pretty excited about it. The image by the way that this thing produces is best-in-class, it compares to the big three’s images that took costs maybe five to six times the cost of what the service provides where we deliver it. So we're pretty excited about that. So when you take all of those services together, that's where we think the growth is going to come from. I think, you correctly pointed out the growth aspirations to get there, we maybe a little behind track by 2020, but we'll see if we can accelerate it as we go through the year and I think some of these new things where I've talked about have very large upsides, so it's up to us now to just exploit them and get them out to the marketplace.
Kurt Hallead: That's great. That's great color. Thanks Tony. Maybe one, one follow-up for William, in the context that you mentioned $200 million in net reduction targets for this year and then I believe you said $600 million to $700 million in 2020, so first along those lines, is the $600 million to $700 million in 2020 is that a cumulative effect? And then separately, I think the investor base is really been wanting to see some consistent level of free cash flow generation, so I wonder if you can give us some general sense on – I guess the forward predictabilities of free cash flow generation?
William Restrepo: Sure, Kurt. Yes. The $600 million to $700 million is combined for 2019 and 2020. But we won't stop there, I mean, the end objective as Tony and I have repeatedly stated is that we want to get to the low $2 billion mark in terms of net debt, but we still have a ways to go. So, in the first quarter, I mean as you have seen in prior years, our cash flow for the course is fairly seasonal. Last year in the first quarter we had about over $200 million of net debt increase. This year, we paired that to about $100 million. In the first quarter, we do have a significant amount of expenses that don't recur in the remainder of the year as I stated in my prepared remarks. If we take out in the second quarter the $80 million of interest expense, $80 million of dividend, reduction in CapEx, the absence of those one-time events in the first quarter plus the improved, EBITDA, we think just those things give us an improvement of $200 million over the first quarter. And then we also are accounting and targeting some working capital reductions, where we have made some efforts to reduce our receivables, we saw some of that in the first quarter, but we expect to get much more in the second quarter. So all that together means, that we feel that we'd be in very good position in mid-year basically on the plus side, that is reducing net debt by somewhat versus the end of last year. And then in the second half, we expect a very strong cash flow as our results continue to improve. And again we expect a very strong quarter like we did last year. If we compare this first quarter to last year's first quarter, just to give you an idea of the progress we've made Kurt, our operating cash flow from the cash flow statement, as you will see in the Q is about $150 million better than last year. We did spend a little bit more of CapEx this year than the first quarter of last year, maybe some $50 million, but again that's just related to our plans for the year where we had targeted about seven to eight – or total of nine operations in the first half of the year and none [ph] in the second half of the year. So you'll see the second quarter have a very, very strong cash flow generation and we expect to deliver for the full year. Again, the fact that our interest payments are semiannual in first and third quarter, it doesn't really allow us to have like smooth quarter-on-quarter cash flow generation. But again, if you take that into account, you'll see that our operating cash flow is progressing and should be stronger by the end of the year.
Kurt Hallead: That's great. Thanks William, appreciate that.
Operator: Our next question will come from Marshall Adkins of Raymond James, please go ahead.
Marshall Adkins: Good morning guys. And again, thank you for the detailed guidance here. I do want to hone down on the U.S. guidance a little bit more, what I heard was that you have – you're going to hold up pretty well in the second quarter despite your customer survey, that kind of echoing what we've heard from other of your peers, that Q2 is going to see a reduction. But your full year guidance suggests maybe you are seeing modest improvement in your fleet through the rest of the year. So give me a little more color on that, I presume obviously, you have some contracted rigs coming online it's customer mix in Q2, that's causing you to outperform peers, but just making sure that I heard that right? And could you comment a little bit on your thoughts on the second half of the year?
Tony Petrello: Sure. So today as we said, the rig count is 115 that we're at. And we're still in the process of deploying the three additional contracted rigs on top of that. So that gives us some confidence that the rig count is going to be quarter-to-quarter up three to four rigs with the first quarter. And if you look at our fleet, the contracted fleet there's probably about 20 rigs in the fleet, they have superspec rigs that are still on old day rates that are rolling and so that gives us the ability to move them to market. As we said, we don't see the leading-edge markets moving up right now, but because we have 20 rigs that can be re-priced to current rate, it also gives us some potential of some additional margin improvement. So that combination, I think that's what it's giving us some comfort and looking towards the end of the year, I think we still believe that, we should be able to exit about close to 120 on the rig count. Obviously, it becomes difficult as people turn more and more and the pressure [indiscernible]. Right now we're feeling pretty good about that Marshall. So as I said, in the next quarter you will see an increase in average rig count, we think, it also will be encouraged by slight increase in daily margin as well.
Marshall Adkins: Right. Thank you. And William, shifting gears to international, we're looking at uptake in the international, could you help us bridge the improvement in EBITDA how much of that’s kind of pricing versus utilization versus like costs going away, stuff like that.
William Restrepo: In the next quarter, Marshall, in reality we just have a couple more rigs coming on that should add some incremental margin, but a lot of that where we experienced in the first quarter was related to interruptions on and off, start and stop in Venezuela where we had to keep our resources waiting for the activity to resume. And we also had some temporary reductions in rig activity in Argentina as well that we had to cope with, that was pretty significant. So we had some extra costs in there that we have addressed in those two specific markets. So we feel comfortable that this coming quarter we should beat that or meet that guidance that we gave. So it’s a couple of items I would say that, again, one is rig count and the other one is just taking care of some costs in Latin America given the volatility that we've seen in activity.
Tony Petrello: And looking out little longer Marshall, I think what gives us some comfort here as why we think we are in an upward trend from where we are today is, as we said before we have visibility on additional seven rigs to go to work in international. Those are in – that includes second – later part of the second half of the year, two platform brings in Mexico, we have rigs in Argentina, Algeria, Russia and Italy also go to work. And so we have some visibility right now in the pipeline and as we also commented in the remarks, the renewals that we are actually depressing margins are basically been all now receptive market, that's kind of overhanging behind us. And finally, the commodity price environment, as you all know is definitely better than where it was. So you put all that together, that's why we feel we’ve got some good visibility and confidence in some of the growth from where we are today.
Marshall Adkins: Thanks guys.
Operator: The next question will come from Chase Mulvehill of Bank of America. Please go ahead.
Chase Mulvehill: Hey, good morning. I guess I want to follow up on Kurt’s question about the net debt reduction is there any divestitures that are included in that net debt reduction?
Tony Petrello: None.
William Restrepo: None.
Chase Mulvehill: Okay. So sounds like that you've got a pretty positive outlook for free cash flow next year. So I guess maybe also kind of help us understand what kind of CapEx is kind of implied in that target number of net debt?
William Restrepo: We're targeting around $400 million for 2019 and in 2020 slightly higher number than that.
Chase Mulvehill: Okay. All right. And then if we come to Lower 48 and think about your cash margin, and the performance of cash margins, you've had some good performance there. Can you maybe talk to how much digital or software app revenue you have flowing through there, and then what kind of adoption rate you're getting at some of that?
Tony Petrello: The thing you have to understand about our numbers is, with NDS, we totally separated out those two segments. So in other words, our rig margins are pure rig margin only. It doesn't include any performance software. It doesn't include any tubular services like some of other competitors. That's subsidizing our rig margins, a standalone. All that margin for software and other applications is all in NDS. So if you really wanted to get apples to apples, you have to take the NDS numbers divide it by rigs and then add it to the U.S. margin to really understand compare it to some other people and you'll see how well the company is actually doing. But it's important to understand that our rig margins do not include any of those of our revenues.
Chase Mulvehill: Okay, thanks for that clarification. And then, so just maybe on the software app side, could you maybe just quantify, how much revenue that you're generating from the digital and software apps and then what kind of penetration you have across the fleet?
Tony Petrello: Well, in terms of penetration, we have a 97%, 98% of all of Nabors rigs have one of the software products – at least one of the software products today. So we have great penetration of Nabors rigs. We have a new version of the software that actually will work on – it actually works on third-party rigs with Canrig or TESCO top drives. We now have a version of software that works on third-party rigs with NOV top drives and that's being making some headways into that market as well. So we're pursuing that third party market as well. In terms of overall value, we don't disclose the breakout, but it's substantial. I will say it's substantial. What I could say on an average basis in the Lower 48 maybe it's about a thousand bucks per rig per day.
Chase Mulvehill: Okay. Alright. That's helpful color.
Tony Petrello: Not the new software, we haven't followed anything yet. That's just the legacy software.
Chase Mulvehill: Got It. Okay. Appreciate the color. I'll turn it back over.
Operator: Our next question will come from Sean Meakim of J.P. Morgan. Please go ahead.
Sean Meakim: Thanks. Hey, good morning.
Tony Petrello: Good morning.
Sean Meakim: So I guess, I appreciate all the detail, the feedback around the progression that you see at International. As we think about the second quarter and going beyond, given that the contract overhangs in the past, as Tony said we're on an upward trend generally from an activity perspective, just give us a little bit funkier parts of the portfolio that a little bit harder for us to see on the outside thing like Venezuela. How confident are you in being able to call 1Q bottom then for International margins? Are we highly confident and what are the caveats that you would put to that you've put to that? Any kind of parameters or numbers you can put around that, I think it would be helpful.
Tony Petrello: Do you want my first one year, what do you want? I mean look, calling a bottom, everyone's always reluctant to call the bottom. So I can just give you context. The context is that, for all the reasons I mentioned before, which is increasing visibility, the fact that we think we've killed whatever fires there were some of these operational one-off issues as well and the commodity price environment and the fact that the burden of resetting contract is, for all those reasons, it looks like it's a bottom. Can I guarantee that Venezuela's definitely not going to blow up by the third quarter, obviously not. And obviously some NOCs that we have large exposure to which is good exposure, good upside, have their own drivers and that that's the problem with International business where you're subject to NOCs and what – and their own timetables now they do things. So when you look at Mexico for example, they could decide for cash flow reasons or budget reasons or something that defer project a quarter or two. I think – but – I think the main point here you have to look at it is the direction. I think the direction is all heading in the right direction here and all the factors that support that they're heading in the right direction. The fact is unlike the U.S. where there's excess capacity of rigs internationally as you know, you've heard this before from other people in the Middle East for example, incremental gas rigs, there is no, it was very little excess capacity. So the market is pretty tight and if there's an uptick that should have an effect on pricing and you'll start to see pricing increased as well. So those are the reasons why, but I can't give you my firstborn, I'm sorry.
Sean Meakim: Right. Happy to have your firstborn…
William Restrepo: Sean, if you put a gun to my head and I would have to say something. Yes, I would say that this is a bottom. But again, like Tony said, there is exposure in Venezuela.
Sean Meakim: You guys have really raised the stakes for this call just now, both of you. I guess – that's helpful. I think really Tony, what I'm looking for is the context. And so, is there more – how much sizable risk is there in Venezuela? And I think the other piece that I think we have trouble from the outside is how mixed shift among the rigs – active rigs on a margin basis can have an influence quarter-over-quarter? Those are the points that I think our shareholders want to get better understanding around.
Tony Petrello: Sure. I think you miss something when you look at rig margin internationally because the mix shift can move even though the EBITDA can go up. So I wouldn't get and that's why we've been very clear in what we said that we think we're going to be the low 90s, and but I would not necessarily focus on average margin for that reason. The large platform rigs are coming in and out of the fleet have a big effect on margin. And because disparity of large gas rigs compared to conventional 1,500 horsepower rigs, there's also deltas there. So I wouldn't get hung up on the margins. But each of the markets internationally is basically a separate market. There's like 15 different markets with their own drivers. So you have to look – you have to put in a higher level than that. And I'm saying when you cut through it all on balance we see that, yes. Then there are headwinds in places like the countries I just mentioned, but I'm balanced we still think directionally it's going in the right direction.
Sean Meakim: Right. Okay. That's all fair. We talked a lot about cash and your expectations there. William, how about on the balance sheet? If we're able to execute in terms of the cash generation next several quarters, what are the latest thoughts around the maturity cadence, beginning in 2020 and how do you look to address that over time?
William Restrepo: So, obviously ideally, we'd like to refinance some of that using the capital markets and going to the bond market and we are very focused on those markets and monitoring those to make sure that we don't miss an opportunity. Frankly, right now, even though our yields have fallen down by over 400 basis points from the beginning of the year. And we've made a lot of progress in that sense. I don't think the markets all of them are open, I wouldn't classify them as attractive right now. So, but we will keep on monitoring and making sure that we don't miss an opportunity for refinancing. In the meantime, well, we have been pairing down those early maturities using our cash balances and cash generated by the company. And we will continue to do so whenever we get surplus cash we will apply to those early maturities. And once we see an opportunity in the bond markets we'll probably go into the bond markets and refinance some of those early maturity.
Sean Meakim: Got it. Great. Thank you very much.
Operator: My next question will come from Taylor Zurcher of Tudor Pickering and Holt. Please go ahead.
Taylor Zurcher: Hey, good morning.
Tony Petrello: Good morning.
Taylor Zurcher: Not to beat the International margin question into the ground, but just to follow up on Sean's question, if we think about the seven or so rig deployments that you have visibility toward over the back half of the year Q2 and beyond. I know the Mexico platforms would be accretive to mid $12,000 a day margin that you're doing now, but fair to assume those other five or so rigs would also be accretive to that mid $12,000 a day run rate?
William Restrepo: The average of those, yes, it would be accretive.
Taylor Zurcher: Okay. And then follow up just on the robotic business and clearly that you're having some success with that technology in the North Sea. Is there any way to frame for us what sort of EBITDA or cash flow potential that business might have moving forward? I know it's a small piece today, but maybe on a upper installation from a per installation perspective, how much EBITDA potential is that business is going to amount for you moving forward?
William Restrepo: I think it's too early to do that right now. I think let us get one of these out and installed and this will have to get a better idea of what our cost structures, et cetera. But obviously if this concept is viable, I think, it gives people in the industry a new choice to move their redoing of their drill floors to a new level. And you could just put historically wherein we were charged for those kinds of packages, you have to be at least at that order of magnitude level or more because of the value the stuff creates. But the market is fairly substantial if it's successful in the offshore market.
Taylor Zurcher: Got it. Thanks. That's it for me.
Tony Petrello: Allison, let's take one more question since we're about to run out of time here, please.
Operator: All right. And thank you, sir. Our next question will come from [indiscernible] of Howard Weil. Please go ahead.
Unidentified Analyst: Hey, good morning and thank you for taking my question. So I just want to make sure a few things on the cash flow. So the way – if I think about, EBITDA to free cash flow, basically what you – if I'm not mistaken, what you guys are saying is, let's say, I take $205 million of EBITDA. There's no interest payment. There's maybe $100 million of CapEx, $5 million of dividend and whatever is remaining that you go towards reducing that, is that clear way of thinking about it?
Tony Petrello: Yes. I mean, the way we look at it though is we look at the last quarter and we have lined up in my script and other comments that roughly $200 million worth of improvements versus the cash flow of the first quarter. And in addition to that, we have some working capital target, reduction target. So that's where we're coming from. We think we are going to be just on the items that I mentioned some $200 million better than the first quarter. And then the remainder will come with some of the working cash flow improvements, which I didn't quantify but we have some targets for the second quarter.
Unidentified Analyst: Okay. And anything that I need to think about SANAD, how that goes into or helps you guys from a cash flow perspective?
Tony Petrello: Again, SANAD right now, it's sort of imbalanced but we have some significant commitments, which is part of the reason we're being very disciplined in terms of CapEx outside of Saudi Arabia, because a lot of our CapEx commitments going forward are going to go towards ramping up our fleet in Saudi Arabia, which means we have to be more disciplined in other countries in the area. So SANAD is just part of our targets of the $400 million, $500 million of CapEx that we have. And we think SANAD will be nicely self funding, despite the big ramp up of rigs that we expect to see in Saudi Arabia over the next 10 years. And then over time and I think of, but it won't be before – I would say 2022, then we'll start seeing significant cash flow – outflows being generated by SANAD.
Unidentified Analyst: Okay. And last one, if I may, Schlumberger’s announcement with Arabian Drilling Company, how does that play vis-à-vis kind of is there any impact, any color that you can provide? How should we think about that?
Tony Petrello: The transaction is consistent with the trend we've seen in the region of several rig fleets changing hands. We don't see an immediate impact on SANAD since – Schlumberger’s rigs were in the region but not in the kingdom. It does change ADC though, these rings are not new to the market, but we don’t really compete with ADC, of course with SANAD and we don't compete or IPM contracts with Schlumberger either. So we don't really run into them much. So I wouldn't say there's much of an effect at all.
Unidentified Analyst: That's very helpful. And thank you for taking my questions.
Tony Petrello: Allison, with that we’ll wind up the call.
Operator: Yes, sir. Thank you.
Tony Petrello: We want to thank everybody for participating and if we didn't get your question, feel free to call us or email us. Allison, you want to go ahead and close it out, please?
Operator: Yes, sir. Thank you. The conference has now concluded and we thank everyone for attending today's presentation. You may all now disconnect your lines.